Adam Borgatti: [Starts Abruptly] …Third Quarter 2017 Results Presentation. My name is Adam Borgatti, Vice President of Investor Relations. Presenting to you this morning is Brian Porter, Scotiabank’s President and Chief Executive Officer; Sean McGuckin, our Chief Financial Officer; and Daniel Moore, our Chief Risk Officer. Following our comments, we’ll be glad to take your questions. Also in the room with us to take questions is Scotiabank’s business line group heads. James O’Sullivan from Canadian Banking; Nacho Deschamps from International Banking; and Dieter Jentsch from Global Banking and Markets. Before we start and on behalf of those speaking today, I would refer you to Slide 2 of our presentation, which contains Scotiabank’s caution regarding forward-looking statements. With that, I will now turn the call over to Brian Porter.
Brian Porter: Thank you, Adam, and good morning, everyone. For Q3, we earned $2.1 billion which is up 7% compared to last year. Diluted earnings per share, up 8% from last year at $1.66 and our return on equity was 14.8%. We are increasing our dividend to shareholders by $0.03 to a total of $0.79 per share. The increase reflects our confidence in the strength and stability of our business. This quarter’s results were generated by strong contributions from each of our business lines, especially our personal and commercial businesses. In particular, Canadian Banking had a record quarter and for the first time generated net income in excess of $1 billion, an increase of 12% over last year. International Banking delivered another quarter of record results and earned more than $600 million for the first time. This continues a strong track record of stable and growing earnings which demonstrates the strength and diversification of our businesses and geographies. Overall, we are seeing good asset and deposit growth across both our Canadian and International P&C businesses as well as favorable credit trends. Global Banking and Markets also performed well in the third quarter and was supported by improved contributions from the equities in our lending businesses. At the enterprise level, our structural cost initiatives are progressing well. After three quarters, we have already exceeded the 350 million savings target we had set for 2017 and we are making good progress towards a productivity ratio of 50% or better by 2021. We are also making good progress against our digital transformation agenda. This includes investments in people, processes and technology to reduce friction points for our customers and digitizing the bank to help us drive productivity and efficiency. Let me share a couple of important developments with you. First at our digital factory here in Toronto, we developed a new on-boarding engine that strengthens controls, provides a seamless experience for our customers and accelerates our time to market for new digital products. This engine allows instant KYC for new Credit Card, Day-to-Day and small business customers without requiring a branch visit. We’ve been in market for six weeks and have processed more than 15,000 applications and we expect to improve the customer experience for many thousands more Scotiabank customers. This innovation allows us to scale up our digital sales while protecting the bank from fraud. The second area of digital progress I’ll comment on is our customer experience system. We have completed the rollout of this fully digital system for all our branches, contact centers and digital channels in Canada, Mexico, Peru, Chile, and Colombia. We’ve already received feedback from 2 million customers and our employees and managers have made 150,000 callbacks to customers so we can better understand their experience. Our feedback has been positive and the bank will continue to focus on deepening our relationships with our customers. We are very focused on executing our digital strategy and remain confident that it is positioning us to be a digital leader. Turning to risk management, our overall credit quality has continued to improve quarter-over-quarter. The portfolio was well managed and within the bank’s risk appetite. The bank is very well capitalized for the strong common equity tier 1 ratio of 11.3%. Our balance sheet gives us optionality to invest in our businesses organically, grow through acquisitions and return capital to our shareholders. Overall, we are pleased with the bank’s performance through three quarters and we are on pace to deliver full year results consistent with our medium-term objectives. I will now turn the call over to Sean who will discuss our financial performance in more detail.
Sean McGuckin: Thanks, Brian. I will begin on Slide 6 which shows our key financial performance metrics for the current quarter and comparative periods. The bank delivered a strong Q3 with net income of over 2 billion, up 7% year-over-year. Diluted earnings per share were $1.66, up 8% compared to last year. Revenue was up 4% year-over-year reflecting 6% growth in net interest income and a 1% increase in non-interest income. Higher interest income was mainly from growth in retail and commercial lending in both Canadian and International Banking. Our core banking margin of 2.46% was up 8 basis points year-over-year, driven by growth in higher margin assets in International Banking and a reduction of lower yielding deposits with banks. We also had higher contributions from asset liability management activities and wider margins in Canadian Banking. Our non-interest income had higher banking in wealth revenues partly offset by lower underwriting and advisory fees and trading revenues. Higher gains on sale of real estate were more than offset by lower gains on investment securities. Non-interest expenses increased 5% or 4% adjusting for foreign exchange translation. The expense growth mostly reflects ongoing investments in technology to drive a greater digital banking experience for our customers. Our focus on reducing spending to run the operations of the bank provides benefits to fund higher business investments. As Brian mentioned, we have made very good progress in generating savings from our structural cost transformation. In the first three quarters of the year, we have now achieved the full year estimate of 350 million in savings. With one quarter still in front of us this year, we expect to exceed our whole year target some of which will be used to support our digital and technology investments in the business. At this time, we still expect to deliver additional savings of 200 million or more in each of 2018 and 2019 as we guided earlier. And including the digital initiatives we announced during our digital banking update earlier this year, we are driving towards an improved all-bank productivity ratio of 50% or better by 2021. Adjusting for the restructuring charge last year in Q2, year-to-date operating leverage was minus 0.5% or positive 0.6% on a taxable equivalent basis. Lastly, the provision for credit loss ratio improved by 2 basis points year-over-year to 45 basis points mostly due to lower non-retail provisions across all business lines. Moving to capital on Slide 7, the bank continues to maintain a strong capital position with a common equity tier 1 ratio of 11.3%, unchanged from the prior quarter but up 80 basis points from Q3 last year. As Brian mentioned, the bank increased its quarterly dividend by $0.03 to $0.79 per share, up 7% from the fourth quarter dividend last year. Applying the $0.79 quarterly dividend to the Q3 basic earnings per share amount of $1.68, this results in a dividend payout ratio of 47%, well within our target range of 40% to 50%. Common equity tier 1 ratio was stable this quarter. Strong net internal capital generation after supporting organic asset growth and revaluation gains of pension and benefit plans was offset by the impact of foreign exchange translation and shares repurchased under our share buyback program. The bank’s common equity tier 1 risk-weighted assets decreased approximately 2.5% during the quarter primarily due to the impact of a stronger Canadian dollar. This was partly offset by organic growth in personal and business lending risk-weighted assets. Turning now to the business line results beginning on Slide 8. Canadian Banking had a strong quarter generating net income exceeding 1 billion, up 12% from last year of which 4% was due to higher gains on real estate sales. Total revenues increased 7% from last year driven by strong loan growth and margin expansion. Loans and acceptances increased 5% from last year. Residential mortgages grew 6%. Personal loans grew 4%. And business loans are up a very strong 11%. Optimizing our balance sheet remains a key focus including growing more profitable deposits. Compared to last year, retail savings deposits grew 10% and checking accounts were up 11%. The net interest margin improved 3 basis points from last year to 2.41%. This was driven by higher yield on unsecured lending, the impact of the runoff of lower spread, tangerine mortgages and higher deposit volumes. Wealth management delivered a good quarter with earnings growth of 5% year-over-year. Assets under management was up 6% and assets under administration was up 4%. On a year-to-date basis, wealth management earnings were up 10%. Provisions for credit losses in Canadian Banking were up 7 million or 3% year-over-year with higher provisions in the retail portfolio offset by lower provisions in commercial. However, the PCL ratio improved 1 basis point year-over-year and improved 3 basis points quarter-over-quarter. Expenses increased 4% year-over-year reflecting higher investments in digital and technology to support business growth. These were partially offset by benefits realized from cost reduction initiatives. On a year-to-date basis, operating leverage was positive 2.5%. Turning to the next slide on International Banking. Our International business continued to demonstrate strong financial and business momentum generating quarterly earnings over 600 million for the first time. At 614 million, earnings grew 16% compared to last year or 12% when adjusted for foreign currency translation. These results reflect good assets and deposit growth and benefits from cost reduction initiatives. Our results compared to last year was supported by continued momentum in Mexico as well as improved efficiency and credit performance in the Caribbean. Our results in Peru were impacted by flood events while Colombia experienced higher provisions for credit losses on credit cards. International Banking loan growth was 11% year-over-year driven by solid retail and commercial loan growth primarily in Latin America and the positive impact of foreign currency translation. We continue to see good momentum in our commercial pipelines, as indicated previously, as volumes increase 6% quarter-over-quarter and 7% year-over-year on a constant currency basis. Turning to the Pacific Alliance, loan growth was 13% year-over-year on a constant currency basis driven by strong retail and commercial loan growth. Retail loan growth in Pacific Alliance on a year-over-year basis was 15% and commercial loan growth was 40%. International Banking is also driving higher deposit growth, up 13% due to strong growth in demand in savings and term deposits, particularly in Latin America. On a constant currency basis, deposit growth was over 10%. The net interest margin declined 2 basis points year-over-year to 4.77%. The benefits of asset mix and rate increases were more than offset by customer assistance programs related to flooding in Peru and lower net inflation impacts. The risk adjusted margin was up 3 basis points year-over-year. The reduction in the net interest margin from last quarter was due mostly to asset mix with commercial loans growing much faster than retail loans as well as the aforementioned customer assistance programs relating to flooding in Peru and inflation impacts. On a year-to-date basis, the net interest margin was up 14 basis points. Credit quality remains well within our risk appetite in International Banking. The loan loss ratio improved 10 basis points year-over-year and 17 basis points quarter-over-quarter. Expenses grew 7% versus last year or 5% when adjusting for the negative impact of foreign currency translation. Expense growth was driven by increased business volumes and inflation as well as higher technology investments and business taxes. This was partly offset by benefits realized from cost reduction initiatives. The productivity ratio of 54.5% in Q3 improved by approximately 100 basis points compared to the prior year reflecting the strong year-to-date positive operating leverage of 3%. Moving to Slide 10 on Global Banking and Markets, net income of 441 million was up 5% compared to last year. The earnings growth was driven by higher contributions from equities and the Canadian, U.S, and European lending businesses. All bank trading revenues on a TEB basis increased by 5% year-over-year. Net interest income increased 1% from higher deposit volumes partly offset by lower lending margins. Non-interest income decreased 5% due to lower underwriting and advisory fees as well as reduced credit fees. This was partly offset by higher trading revenues and equities. Provision for credit losses of 24 million was down 14 million versus last year and the loan loss ratio improved by 8 basis points to 11 basis points. The improvement was driven by lower provisions in the energy sector. Quarter-over-quarter, loan losses were up 22 million due largely to one account. Expenses were up 5% compared to last year due mainly to higher expenses related to regulatory initiatives. I’ll now turn to the other segment on Slide 11 which incorporates the results of group treasury, smaller operating units and certain corporate adjustments. The results include the net impact of asset and liability management activities. The other segment reported a net loss of 55 million this quarter compared to net income of 19 million in the prior year. The decrease was driven mostly by lower net gains on investment securities which are partly offset by a decrease in non-interest expenses. This completes my review of our financial results. I’ll now turn it over to Daniel who will discuss risk management.
Daniel Moore: Thank you, Sean. I’ll start on Slide 13. We continue to remain comfortable for the underlying fundamentals of the bank’s risk portfolio. Results this quarter are within expectations and we saw the loan loss ratio improve 25 basis points, down 2 basis points year-over-year and 4 basis points quarter-over-quarter. Our energy portfolio remains well managed and had a net recovery of 1 million in Q3. The cumulative energy loan loss portfolio – loan loss ratio since 2015 of 2.1% is well below our guidance of less than 3% until the end of 2017. We remain committed to our guidance and are actively managing all of our exposures. Overall, we are seeing improvement in the PCL ratios across our personal and commercial banking businesses in both Canada and international. Starting with Canada, delinquency rates improved quarter-over-quarter and year-over-year across all of our retail product categories, including auto lending. Last quarter, we also signaled expectations that retail loss rates have peaked and in fact we saw a 3 basis point improvement quarter-over-quarter. Our focus on collections has supported the improved credit performance in credit cards, personal loans and lines of credit. We have a high quality in residential mortgage portfolio, 52% of which is insured and the uninsured portfolio has a loan to value of 50% providing substantial equity buffer in the event of a housing correction, something which we are not forecasting. As well, loan originations this quarter reflect an average LTV of 64%. Now moving on to International Banking. We continue to see good credit quality trends. Retail portfolio performance generally improved across Caribbean and the Pacific Alliance countries, except for Colombia which saw higher credit card-related losses. Meanwhile, commercial loan loss rates overall also improved, given last quarter was impacted by some specific accounts. Now looking at our credit metrics, growth impaired loans were down 9% quarter-over-quarter mainly due to the impact of foreign currency translation and decreases were experienced across all business lines. Our net impaired loans as a percentage of our portfolio improved 5 basis points quarter-over-quarter to 44 basis points. Net formations amounted to 644 million, down from 807 million in the prior quarter. The majority of the improvement came from International commercial and Global Banking and Markets. Looking at our market risk, it continues to remain low in Q3. Our average one day all-bank value at risk was 11 million, down 0.1 million from the prior quarter and there were no trading loss days in the quarter. Now turning to Slide 14, you can see the recent trend in loss rate for each of our businesses. As previously stated, our loan loss ratio this quarter is 45 basis points. Canadian Banking’s PCL ratio improved 3 basis points quarter-over-quarter due to lower provisions in both retail and commercial portfolios. The year-over-year improvement was driven by commercial exposures. In International Banking, the loan loss ratio improved 17 basis points quarter-over-quarter. Retail loan loss portfolio, loan loss ratio improved versus last year and the commercial provisions decreased mostly in Latin America and Puerto Rico. This year-over-year improvement in the loan loss ratio was driven by both retail and commercial portfolios. In Global Banking and Markets, the loan loss ratio increased 10 basis points quarter-over-quarter primarily due to a single account but improved 8 basis points year-over-year on the back of lower energy-related provisions. Overall, we believe our credit portfolios continue to remain in good conditions. I’ll now turn the call back over to Brian.
Brian Porter: Thank you, Daniel. I’d like to close by highlighting a few key takeaways from our presentation and comment on the outlook for Scotiabank. We are delivering strong results and are well positioned to drive ongoing shareholder value over the longer term. This quarter is a good example. We delivered strong results in our core personal and commercial banking businesses in Canada and internationally. We are driving strong levels of return on equity and improving the bank’s efficiency. And lastly, our restructuring program is realizing savings ahead of our target in 2017. These benefits will allow us to continue investing for the future. Looking forward, we will continue to focus on improving customer experience by enhancing our digital capabilities, optimizing our business mix and becoming more efficient. Internationally, we remain committed to our key markets of Mexico, Peru, Colombia and Chile where we continue to see significant opportunities for growth. We expect Global Banking and Markets to continue to perform well and drive good results. As we continue to improve operations, earnings will reflect further consistency and profitability. Overall, we have a clear sense of direction and we’re pleased with the progress we’re making on executing our strategic agenda. We are confident that this progress will benefit our shareholders, customers and employees. We’ll provide a more detailed update on our business outlook and strategy in Q1 2018 as we will be hosting an All-Bank Investor Day here in Toronto on February 1, 2018. Thank you. I will now turn the call back to Sean and open it up for questions.
Sean McGuckin: Thanks, Brian. That concludes our prepared remarks. We will now be pleased to take your questions. As in prior quarters, please limit yourself to one question and then rejoin the queue to allow everyone the opportunity to participate in the call. Operator, can we have the first question on the phone please?
Operator: Our first question comes from Meny Grauman with Cormark Securities.
Meny Grauman: Hi. Good morning. Good results in International Banking but if you dig in, Latin America earnings up 2% year-over-year. I’m wondering now that loan growth appears to be moving back in the right direction, what do you need in order to get earnings growth in Latin America specifically up to – basically stronger? And is it the expense line that’s the focus now and any commentary on that would be helpful?
Ignacio Deschamps: This is Nacho. If we look at the Pacific Alliance growth on a year-to-date basis, it’s growing 21% earnings in constant. So that’s well above our guidance we provided around 10% growth for the Pacific Alliance. This is driven by very strong growth of Mexico and Chile. This quarter in particular there was softer growth in Peru due to the floods. It was a major event, the flooding in Peru and that was a softer quarter. But if you look going forward, we expect Peru to grow between 3.5% and 4% next year. I was there three weeks ago and business confidence is growing. The recovery of earnings is going to be very important. Around 1% of GDP is estimated to be the impact of that program. So I’m confident that going forward, the Pacific Alliance contract will be growing within our guidance between 9% and 11% per year.
Meny Grauman: Thanks for that. And if I could just ask in Canada we’ve seen modest acceleration in your mortgage growth. Looking at the numbers from the brokerage channel, definitely seeing that you’re taking share. It seems like it’s due to recent CMHC changes. I’m wondering how much of that additional growth on the mortgage side is coming from the brokerage channel? And do you see room to take more market share in that specific area of the mortgage market, or is it largely done in terms of sort of the bigger moves in market share from the recent rule changes?
Brian Porter: Yes, I don’t know whether it’s done or not. That is a business where I think we have very strong leadership and where we have three strong distribution channels. And so if you look at the business before the tangerine runoff, mortgages are up 6% year-over-year and 5% year-to-date. And if we roll back the clock just a little bit, at the end of Q1, our view of Canada’s economic prospects were increasing and I think increasing markedly. And it’s really in the face of that that we decided that some sensible balance sheet expansion would make sense. And that’s really what we’ve been doing and it’s across the entire balance sheet. It’s not just mortgages. And so you’ll see commercial assets up 12% year-over-year, you’ll see small business assets up 9% year-over-year and mortgages as I say it’s at 6%. So this is part of a larger program of sensible balance sheet expansion without changing our risk appetite all with a view to setting us up we believe for good revenue growth in the coming quarters.
Meny Grauman: So just a quick follow up. Do you believe you could even accelerate your mortgage growth from the current pace? Like would you be comfortable seeing mortgage growth move up even from let’s say 6% levels?
Brian Porter: I don’t think so. I would expect some moderation in mortgage growth from here. But as we finish 2017 and move into 2018, I’d be thinking about a balance sheet that’s expanding at nominal GDP, maybe plus a bit. So call that broadly 4% to 5%. But I think some moderation in mortgage growth is likely to be expected from here.
Meny Grauman: Thank you.
Adam Borgatti: All right. Next question on the line please.
Operator: Our next question comes from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: Good morning. I was just wondering if you could touch upon the net interest margin. One, I recognize the impact from flooding on the margin in Peru. Just wanted to get your updated thoughts. Last quarter you had talked about international margin being up year-over-year for the second half in terms of what you expect going into the fourth quarter into '18? And also if you can touch upon the outlook for the Canadian P&C margin as well? Thank you.
Ignacio Deschamps: So in our International Banking as we’ve seen in the last quarter, it was unusually high interest market for International Banking. If you look year-to-date, our NIM is 4 basis points above last year and more importantly our risk adjusted margin is 19 basis points. So it’s really very similar to the NIM we have shown in previous quarters except Q2.
Brian Porter: In Canada, the margin being improving obviously, up 3 basis points quarter-over-quarter and up 3 basis points year-over-year I think very importantly the risk adjusted margin, so NIM minus PCLs and basis points, that’s also up. That’s up 5 basis points sequentially and 4 basis points year-over-year. So we think overall we’ve made good progress here in narrowing the gap to our peers which we’ve spoken about in many different forums. But look, going forward I think it’s challenging to forecast. There’s a lot of different moving pieces. Some of those we control, some of them we don’t. But our near-term goal here would be for stable margins.
Ebrahim Poonawala: And that’s stable margin for Canada P&C as well as international or just --?
Brian Porter: For Canada P&C.
Ignacio Deschamps: And international. We would expect this to be relatively stable levels.
Ebrahim Poonawala: All right, got it. Thanks for taking my questions.
Adam Borgatti: Next question on the line please.
Operator: Our next question comes from Gabriel Dechaine with National Bank Financial.
Gabriel Dechaine: Hi. Good morning. I got a quick one on the Basel I floor, which you triggered this quarter. I’m just wondering if there are any discussions with OSFI about the application of that rule. I believe Canada’s treatment is more punitive than it is in other countries and it’s not consuming insignificant amounts of capital.
Sean McGuckin: We have ongoing discussions with OSFI as an industry just on the overall capital advancements. I can’t speak particularly on this one but we do have ongoing discussions in terms of where the capital rules are emerging going forward.
Gabriel Dechaine: Okay. Then – yes?
Sean McGuckin: Yes, I was about to say my comments on Basel I, it factors into our capital planning obviously and as you look to optimize our balance sheet, we also take into consideration all the capital elements and we’re still confident we can free capital going forward.
Gabriel Dechaine: I might want to follow up on that one but just on the expenses. It’s nice to hear that you’re tracking ahead of your cost cutting target from the restructuring that you took a couple of years ago. But if I just look at a high level here, your expense growth adjusted for the restructuring charge last year, it’s up 4%. Year-to-date operating leverage is negative on an adjusted basis. It doesn’t look like those are going through really in a beneficial way at a very superficial level. Does this mean that we’re reinvesting more than the cost savings into your digital transformation?
Sean McGuckin: If we look at the year-to-date operating leverage, it was just slightly negative 0.5%. There were a few things last year that are impacting the year-over-year operating leverage. We had a gain and stellar business in Canadian Banking last year. We had a post retirement benefit credit last year. There was a few trades in Global Banking and Markets this year that had an impact on revenue growth. So if you put it on a taxable equivalent basis and adjust for some of these items last year, we’re running at close to 1.8% year-to-date operating leverage. So we are seeing good performance in Canadian Banking, as I mentioned, we have a 2.5% operating leverage year-to-date, international banking 3%. So we are making headways. There’s just some noise in some of the comparatives.
Gabriel Dechaine: But if we’re looking to year-end, do you expect to finish on a positive side and into 2018 I guess excluding these adjusting --
Sean McGuckin: Yes, our goal is to drive positive operating leverage. And as we signaled, these savings that we announced last year should drive us to 200, 250 basis points savings or improvement in productivity by the end of '19. And as we look beyond '19, for a few years beyond that, we believe all that digital and technology investments we’re making will drive even further productivity improvements. So yes, I believe we are on track and making good progress.
Gabriel Dechaine: Okay. Thank you.
Adam Borgatti: All right. Next question on the call please.
Operator: Our next question comes from Doug Young with Desjardins Capital Markets.
Doug Young: Hi. Good morning. Just to Latin America and the 2% year-over-year earnings growth and one of the areas where you also mentioned there has been challenges in Colombia where earnings were down 50% year-over-year and I think that’s related to cards. Can you just elaborate what’s occurred there in the Colombian card market? And if you were to normalize, would Colombia actually have been up year-over-year. Just trying to quantify and get a sense of how big that item was.
Ignacio Deschamps: Yes. I think Colombia, the way to understand the performance is really the macro economy in Colombia has been affected by energy prices. Very high inflation last year that has affected the purchasing part of especially the retail side this year. So we’ve seen in the whole market, in the whole financial system around 25% retail PCL growth. This is we see it as a temporary affect. We’re seeing – and maybe Daniel you can comment more on this, but we’re seeing retail PCLs at peak levels trending in the right direction and we expect the Colombian economy to grow much more or stronger next year. So we have a positive outlook for next year normalizing growth in Colombia around 10% like the other Pacific Alliance countries.
Daniel Moore: Concur with that, Nacho, our outlook I’d say for Colombia remains cautiously optimistic on a go-forward basis. We have seen a slowdown in GDP growth due to the depressed commodity cycle. But going forward we’re seeing slow increase and our expectation would be a slight increase, about 2.2% GDP going forward in 2018. We’re seeing moderate uptick in employment and contained inflation levels. So we have as you noted brought forward some of our plans in terms of technology as well as origination in lifecycle management around our credit card portfolio and in particular collections. Those are showing good early signs of improvement and our early delinquencies are showing a decreasing trajectory in their ratio. So we are optimistic that we have peaked in that growth rate and that we will see a downturn going forward.
Doug Young: Okay. And then if I can just – maybe back to the expense item, because I always try to think of it in terms of – it’s great that you hit the 350 million plus, but how much of that is actually flowing through the bottom line? And maybe that’s the wrong way to think of it. Maybe it should be just measured around positive operating leverage. But I assume a lot of that 350 has been reinvested into the business, but correct me if I’m wrong. And then as we look into 2018, '19, the additional 200 million each of these years, should we just be thinking of those as being reinvested back in the business? Just want some additional comments around that. Thanks.
Sean McGuckin: Again, as I mentioned in my comments, our goal is to reduce the cost to run the bank so we can continue to make these investments not only in digital and technology but at the business initiatives to drive a stronger bank going forward. So again, we have seen good operating leverage in the divisions this year and we expect that to continue. For us to reach our productivity gains of 200, 250 basis points, a lot of this has to fall to the bottom line and we’ve got other expense initiatives beyond what’s being attached to the charge we took in Q2. And those savings are also providing currency to invest in technology and digital. So again, we are very confident that we are moving forward and driving positive operating leverage and getting our productivity ratio even lower than what it is today.
Doug Young: Thank you.
Adam Borgatti: Next question on the call please.
Operator: Our next question comes from Nick Stogdill with Credit Suisse.
Nick Stogdill: Hi. Good morning. I was just wondering if you could update us on the number of branches available for sale this quarter after the transactions you undertook. I believe it was 220 last quarter.
Brian Porter: Yes. At the end of the quarter we owned 197 branches but a third of those would be rural and two-thirds of those would be urban or suburban. So you should expect our disposition program to continue in Q4 and throughout 2018.
Sean McGuckin: But at more modest levels next quarter and into next year.
Nick Stogdill: Okay. So 197 down from 220, okay. And then my second question just on the LatAm loan growth. Obviously some good trends this quarter in retail and LatAm accelerated to 15%. If we look at the quarter-over-quarter balances on Slide 31 on a spot basis, there were down 5% quarter-over-quarter. Is that just currency? And maybe you could give us a little bit of color on the sequential trends in LatAm retail?
Sean McGuckin: Yes, so LatAm retail on a constant currency basis was up 3% quarter-over-quarter. We have LatAm growth overall quarter-over-quarter of 5%; 3% in retail and 7% commercial.
Ignacio Deschamps: I would add, Sean, that I am very pleased with asset growth. Two very strong consecutive quarters in commercial growth, consistent retail growth in 2% to 3%, so I think you should expect Pacific Alliance countries to continue growing year-over-year around 10% both in retail and commercial.
Nick Stogdill: Thank you.
Adam Borgatti: All right. Next question on the line please.
Operator: Our next question comes from Steve Theriault with Eight Capital.
Steve Theriault: Thanks very much. James, business growth was double digits for the first time I think in quite some time. You touched on it earlier. Shouldn’t be too surprising given your previous guidance but it would be great to get some color on where you’re seeing growth, where you’re seeing gains? Is it market share gains? We can see from industry data that growth generally has accelerated, so maybe a bit more complete picture on that would be great?
James O’Sullivan: So I think this quarter a lot of good things came together. We had strong balance sheet growth, we had solid revenue growth, we had good expense control, we have margin improvement and we have declining PCL ratio. So this does not happen every quarter. Fundamentally we’re executing the plan that we’ve been communicating now for over two years focusing on customer experience, focusing on business mix and on operational improvements. But we’ve indicated in the past that we want to improve our market share in commercial. We want to improve our market share in small business. And we have a sharp focus on the liability side of the balance sheet, so deposits are very important to us and this is a quarter where I’m very pleased with commercial assets growing at 12%, small business assets growing at 9%. So looking out, I think our view would be that the outlook going forward continues to be for solid growth. I think we’ve delivered strong growth in each of the past two [ph] years and this has been against what I would describe as a modest to moderate economic backdrop. So we’ll focus on driving volumes with reasonable margin. And as always as Sean has certainly signaled, expense control is going to be very important. But look, our medium term goal remains intact here. We’ve been signaling 6% to 9% for well over two years and that continues to be our medium-term target for this division.
Steve Theriault: Okay. Thanks for that color. And a quick follow up for Daniel. The one-off PCL in capital markets, was that the metals refining number I can see in the supplemental schedule?
Daniel Moore: That’s correct. It was in the primary metals sector and we view that as an idiosyncratic situation as opposed to a secular problem.
Steve Theriault: Thanks for that.
Adam Borgatti: All right. Next question on the line please.
Operator: Our next question comes from Scott Chan with Canaccord Genuity.
Scott Chan: Good morning. Maybe for Nacho or Sean just on the international side. I noticed the branch count was down a lot sequentially, down 40 quarter-over-quarter. Can you remind us just on the plan on just the branch rationalization process international?
Ignacio Deschamps: Yes, I would say it was a one-off basically driven by Mexico where we did a deep dive and we are strengthening our retail business. We saw an opportunity. We have around 750 branches, so it’s around 4% reduction. But as I’ve mentioned before, in Latin America in general given the branch density and geographic density, we expect branch network to be relatively stable or slightly growing.
Scott Chan: And maybe just one quick one for Brian just on the wealth management side, assets were up 6% year-over-year. It seems like it’s higher than peers this fiscal quarter. Maybe can you just comment on the Canadian mutual fund environment and if you’re seeing a pickup in NCLs year-to-date or this quarter?
James O’Sullivan: It’s James. I’ll make a comment. Canadian wealth earnings were up 5% year-over-year but 10% year-to-date. So I think we’d say overall we’re satisfied with the financial performance of the business. But if you peel it back, I think what you are seeing is more modest kind of revenue increases. The revenue environment is moderating. And so we view that as an opportunity. Historically as you know the wealth industry has focused more on revenue growth than on cost control. So we’re viewing this as an opportunity to have a hard look at the productivity ratio over the medium term. And to your question on mutual funds, that is the largest source of revenues in our Canadian wealth business and we’ve been putting management fee reductions in place and fixed admin fees. And those are weighing somewhat on revenue growth. But when you have a business that’s generating say 5% revenue growth but it’s got a productivity ratio approaching 70%, if you control your expenses you can still grow strongly and that’s what we’re proving out here why earnings would be up 10% year-to-date.
Scott Chan: Great. That’s very helpful. Thanks a lot.
Adam Borgatti: Okay. Next question on the line please.
Operator: Our next question comes from Mario Mendonca with TD Securities.
Mario Mendonca: Good morning. If I could go along the same lines as some of the other questions on expenses, the improvement in efficiency this year, there was clearly some in the first quarter but it really has moderated in the last couple of quarters. I think where I’m going with this is you’ve offered guidance about efficiency a few years out. Is there anything you can offer in the near term? Like what you think that efficiency ratio can get to say in – shortest 2018? Have you offered anything like that recently?
Sean McGuckin: We haven’t. But when you do the math on the 200 to 250 basis points productivity improvement that we indicated at the end of last year, that would take it down to about 52% ratio. Again, when you back out some of the trades in Global Banking and Markets which had a bit of a negative revenue impact, we’re running at around 53.3% year-to-date. So we’re getting close to that 52% level that we said we’d be getting to at the end of '19. So we still have a few years in front of us. Again, our goal will be to create positive operating leverage to continue to get there and these cost reductions really help us get there.
Mario Mendonca: You said 52 in 2019.
Sean McGuckin: Yes.
Mario Mendonca: Okay. So I guess we could do the math and sort of straight line it --
Sean McGuckin: Our starting point when we made the chart in that year before was 54.2 whenever it was. So we said we’d take it down 200, 250. So by the end of '19, it’d be down to 52%. So we are making progress notwithstanding. We’ve got a lot of investments going to make the bank a stronger bank in digital and technology like most of our peers.
Mario Mendonca: Yes, I think the message is from externally it’s hard for us to see all the benefits of your efforts. I know internally when you folks look at the numbers, you’re probably feeling you’re getting there. It’s just not coming through externally just yet. I think that’s the message from all these questions. If I could just go to James just for a quick question here. What we’re hearing from your peers is that Canada just seems better. The message is coming loud and clear on delinquencies, loan growth. What’s your impression? Has that changed over the last say six months, three months your outlook on Canada?
James O’Sullivan: Mario, I think it’s gotten – our outlook or feel has gotten consistently better since January or February. And as I travel the country, as Brian and others travel the country, the mood in the country is pretty positive. Certainly when I speak to commercial customers across the country, they’re feeling pretty good about this country’s prospects. We’re seeing that clearly in loan volumes. I think what we’re seeing in consumer delinquencies is a much awaited and very important trend that’s deserving of attention. It’s not everywhere but I think the mood is pretty good and we’re seeing it in our results.
Mario Mendonca: Thank you.
Adam Borgatti: All right. Next question on the line please.
Operator: Our next question comes from Robert Sedran with CIBC World Markets.
Robert Sedran: Hi. Good morning. We focus a lot of attention in the international side and I think rightly so on LatAm, but the last couple of quarters in the Caribbean seems like – and I’m curious if something is going on. The results, earnings are better and loan losses have been down. Is that part of the bank – we’ve seen it in some of your peers as well looking better also. Is there something going on in the Caribbean that we should be paying attention to or is this just the normal quarterly volatility?
Ignacio Deschamps: I would say this is a consistent improvement on our Caribbean operation even when the growth levels are more moderate, a lot of progress has been done in structural cost transformation, in operational efficiency, in operating this bank with a single operating platform and single system and creating hubs around the Caribbean to provide services for all of the country. So definitely it’s a good – I think it’s good to identify that the Caribbean is an important contributor to International Banking, stable and consistently improving.
Robert Sedran: You think there’s a top line story to be told there, Nacho, is it largely an operating efficiency story?
Ignacio Deschamps: Well, I think overall I think it’s a very important expense management. But I would say overall we are very – have a very important franchise in the Caribbean. So volume growth are good relative to the market and PCLs are stable. We are growing within our risk appetite in all these countries. So overall I think it’s a good story.
Robert Sedran: Thank you.
Adam Borgatti: Okay. Next question on the call please.
Operator: Our next question comes from Sohrab Movahedi with BMO Capital Markets.
Sohrab Movahedi: Thanks. Just wanted to come back to James quickly. James, when you look at your business in Canada, you look at your volume growth, you look at your mix of assets, are you surprised about your margin performance relative to competition?
James O’Sullivan: I don’t know if I’m surprised, Sohrab. We set out two and a half years ago with kind of a three-pronged strategy. One of those was business mix. And the purpose of the business mix was to focus on both sides of our customers’ balance sheet, change our asset mix and frankly drive a better margin narrowing the gap to our peers. And so that’s something we’ve been determined to do and I think we’ve made some progress on it. I will say the margin performance this quarter was a bit of a positive surprise. I didn’t expect it to be as good as it was. But generally directionally we’ve wanted to narrow the gap to our peers and I think we’ve made some clear progress there.
Sohrab Movahedi: And so would you say that you’re – as far as the remix trying to penetrate your customer base with unsecured products, are you – is there still some opportunity there?
James O’Sullivan: I think there is. If you look at our domestic balance sheet, 2% of our domestic balance sheet would be committed to credit cards. For peer average, I think of 4. So there’s clearly room for us to do more. We’re living in a world of hard choices. There’s lots of investments for us to make. As I’ve said on previous calls, there is an opportunity to program, to fund another leg of credit card growth. We may choose to do that sometime in 2018. There is certainly an opportunity. But we need to go through a bit of a profit planning exercise here and really force rank all of the opportunities ahead of us with the investment dollars that we have to spend.
Sohrab Movahedi: Okay. And then very quickly, when you shut down the branches, did you expect to see a commensurate decline in FTE?
Brian Porter: When we close branches.
Sohrab Movahedi: Yes, when you have net reductions in branches. The FTE trends are not necessarily consistent with the branch transactions. I don’t know if they should be. So it’s more of a – not a rhetorical question, just trying to get a feel for that?
Brian Porter: Sure. So recall we’re opening about 10 or 15 branches a year; closing 25 to 30. So there’s your net kind of 1% to 2% down per year. That does result in FTE reductions. But against that and I think what you’re seeing in the numbers of this quarter is we were – in the branches we were running advisors. We had a higher vacancy level than we wanted to frankly. And so you’re seeing an investment in advisors in branches. You’re seeing an investment in hiring in customer facing roles in wealth and you’re seeing an investment in hiring in digital as well. So while branch count is coming down, we really want to make sure because we view the future of the branch’s advise, we want to make sure we have the proper number of advisors in each branch, so there’s been some hiring in respect of that and that will continue.
Sohrab Movahedi: Good. I appreciate that color. Thanks.